Operator: Greetings, and welcome to the Diana Shipping Incorporated 2024 Fourth Quarter Conference Call and Webcast. [Operator Instructions]. It is now my pleasure to introduce Edward Nebb of Investor Relations. Thank you. You may begin.
Edward Nebb: Thank you, Daryl, and thanks to everyone who is joining us today for the Diana Shipping Inc. 2024 fourth quarter and year end conference call. With us today leading the management team is Semiramis Paliou, Chief Executive Officer, who will introduce the other members of the management team. And so, without further delay, I will turn the call over to Ms. Paliou.
Semiramis Paliou: Thank you, Ed. Good morning, ladies and gentlemen, and welcome to Diana Shipping Inc. Fourth quarter and end of the year 2024 financial results conference call. It's a pleasure to address you today alongside our esteemed team, Mr. Anastasios Margaronis, Director and President Mr. Ioannis Zafirakis, Director, Co-Chief Financial Officer and Chief Strategy Officer Mr. Eleftherios Papatrifon, Director and Ms. Maria Dede, Co-Chief Financial Officer. Before we begin, I kindly remind you to review the forward-looking statements on Page 4 of the accompanying investor presentation. The Q4 2024 performance, it has been another record year for dry bulk volumes through 2024 and earnings have averaged well over that seen in 2023. But this was a year of two halves in terms of rates with a very strong first six months followed by somewhat softer conditions through the back end of the year. Trade disruption played a key part in boosting ton-mile demand, especially as Panama Canal transit slots were cut due to drought conditions leading to rerouting. This was further exacerbated by Houthi attacks on ships in the Gulf of Aden, which subsequently led to a 40% reduction in bulk of transit and even more rerouting. Towards the end of 2024, shipment volumes remained high, but fleet efficiency gains began to weigh on Capesize and Panamax earnings. Meanwhile, the near normalization of the Panama Canal and more basin bound trade kept limits on ton-mile growth. Having said that, the forward curve has remained in steep contango for all sizes and we have managed to charter our vessels for period at significant premiums over the spot market. Turning to Slide 5, let's review our company's snapshot as of today. Diana Shipping Inc. founded in 1972 and listed on the New York Stock Exchange since 2005, operates a fleet of 38 dry bulk vessels, seven of which are mortgage free. Our fleet has an average age of 11.4 years and a total deadweight capacity of approximately 4.2 million tons. We anticipate the delivery of two methanol dual fuel newbuilding Kamsarmax dry bulk vessels at the end of 2027 and early 2028, respectively. Fleet utilization reached 99.7% for the fiscal year 2024, highlighting our effective vessel management strategy. As of the end of the fourth quarter, we employed 981 individuals at sea and the shore. Financially, our net debt stands at 40% of market value, supported by $207 million in cash reserves and total secured revenues of approximately $155 million as of February 19. On Slide 6, we outlined the key developments from the fourth quarter through February. In October, we signed a term loan facility with Danish Ship Finance secured by seven vessels, drawing $80.2 million to refinance the existing term loan facility. This refinancing released two previously financed vessels. In October, we successfully completed the approval and publication of the company's prospectus for the bond listing on the Oslo Exchange. In November, we completed a $25 million tap issue under our outstanding senior unsecured bond due July 2029, issued at 102% of par value with a fixed coupon of 8.75%. In November, we released our 2023 ESG report, the fifth in a row, underscoring our ESG strategy and commitment to sustainability. In December, we repurchased 11,442,645 common shares at the price of $2 per share. As of February 19, we have raised $25.6 million through the exercise of 6,394,709 warrants under our ongoing warrant program, with the potential to raise an additional $65 million under the full scope of the program. As of February 19, we have secured revenues for 63% of the remaining ownership days of 2025, amounting to approximately $125 million and 10% of available ownership days in 2026, amounting to approximately $30 million. Maria will provide further details on our cash flow generation potential. In February, we announced the sale of motor vessel Alcmene for a purchase price of approximately $11.9 million before commissions. She is expected to be delivered to her new owners latest by March 7, 2025. For the fourth quarter, we are pleased to declare a quarterly cash dividend of $0.01 per common share, totaling approximately $1.1 million. On Slide 7, summarizing our recent chartering activity. Since our last earnings presentation, we have secured favorable time charters for nine vessels; two Ultramax vessels at a weighted average daily rate of $12,952 for 228 days; seven Panamax, Kamsarmax and Post Panamax vessels at a weighted average daily rate of $11,260 for 252 days; and four Capesize vessels at a weighted average daily rate of $18,312 for 264 days. Slide 8 highlights our disciplined chartering strategy. We focus on standard, medium to long-term charters to avoid clustered maturities and ensuring earnings visibility and resilience against market downturn. Now, I'll pass the floor to Maria for a more detailed financial analysis.
Maria Dede: Thank you, Semiramis. Going to Slide 9 on the financial highlights for the fourth quarter of 2024, our revenue stood at $57.1 million compared to $60 million in the same quarter of last year, a decrease of about 5%. Our adjusted EBITDA was $25.9 million compared to $27.1 million in the fourth quarter of 2023, a decrease of $1.2 million. Regarding our net income, this increased compared to the same quarter of last year to $9.7 million from $9.4 million in 2023, an increase that is mainly attributable to decreased interest expense as a result of a combination of decreased average debt and decreased interest rates and increased gain from non-operating activities in the fourth quarter of 2024 compared to the same quarter in 2023. Earnings per common share diluted, however, was $0.02 in the fourth quarter of 2024 compared to $0.06 in the same quarter of 2023. The decrease in the diluted earnings per share was due to the increased average number of shares and also the adjustments of net income to calculate this number, including not only the preferred dividends paid to preferred shareholders, but also the gain on warrants, which in the fourth quarter of 2024, was 5.5 million compared to only 1.6 million in the fourth quarter of 2023. On the balance sheet side, we ended the year with cash of $207.2 million compared to $161.6 million as of December 31, 2023, comprised of cash and cash equivalents, time deposits maturing in periods above three months, which are excluded from cash and cash equivalents and restricted cash serving as compensating cash balance to secure our loan facilities. Long-term debt and finance liabilities net of deferred financing costs comprising of a mix of variable and fixed rate indebtedness, which includes secured debt and unsecured bond and for sale and leaseback agreement was $637.5 million as of December 31, 2024 compared to $642.8 million as of December 31, 2023, a decrease of around 1%. At this point, we would like to remind you that during 2023 and 2024, we refinanced all our debt agreements and bond to push back debt and bond maturities and also decrease loan margins. Going to Slide 10, we talked about our revenues for the quarter earlier in the previous slide. Now, voyage expenses increased marginally compared to the same quarter last year due to increased loss on bunkers compared to 2023. On the other hand, vessel operating expenses decreased in absolute numbers due to the sale of two vessels during the year, but also due to savings achieved in the fourth quarter of 2024, which can be evidenced by the decrease of the day operating expense achieved for the fourth quarter of 2024 being $5,496 compared to $5,745 in 2023. Our time charter equivalent for the fourth quarter was also increased to $15,589 compared to $15,162 in the fourth quarter of 2023. Fleet utilization was the same for both comparative quarters at a strong rate of 99.7%. Going to the next Slide #11, our revenues for the year were $228.2 million compared to $262.1 million last year, a decrease which was the outcome of decreased average rates achieved during the year and decreased average number of vessels. That being said, our time charter equivalent for 2024 was $15,267 compared to $16,713 in 2023. Net income was $12.7 million compared to $49.8 million in 2023, a decrease that was affected by decreased revenues and non-operating losses relating to the reversals of the bond in 2024 and losses derived from the valuation of our investments compared to gains in 2023. Going to the next Slide #12, you can see the outcome of our debt refinancing mentioned earlier, through which we managed to have steady debt repayments until 2029 and a steadily amortized debt until 2032. Going to the next slide. As of December 31, 2024, our breakeven rate was $16,314 per day. As Semiramis mentioned earlier, our contracted revenues for the remainder of 2025 were $124.8 million and for 2026, $30 million. Having calculated the revenues for the unfixed date of 2025 and 2026 at the FSA rates presented in this slide, we estimated that for 2025, we will be at or around breakeven. Going to the next slide. In Slide 14, we present to you our dividend payout since the third quarter of 2021 when we distributed our first cash dividend since 2008, which has rewarded our shareholders with quarterly distributions of both cash and shares. Consistent with this payout, we have declared another dividend of $0.01 per share, increasing our cumulative dividend paid since 2021 to $2.66 per common share. And with this, I will turn the call to Stasi, who will continue with the dry bulk market overview.
Anastasios Margaronis: Thank you, Maria, and a further warm welcome to the participants of this quarterly and annual earnings call of Diana Shipping Inc. A quick look at the market and an update on it. The dry bulk market has become increasingly volatile and the erratic paper market helps to increase this instability. As evidence of this trend, we saw the highs and lows of the dry bulk market over the last twelve months or so. The Baltic Dry Index hit a high of 2,419 in March last year and at the end of January of this year, stood at only 715. 12-month time charter rates for Cape reached a high of $25,000 a day in March ‘24 for a scrubber fitted ship and in January have dropped to $18,000 per day. For Kamsarmaxes, the high was $21,000 per day in March of last year and the low was reached in December of last year of $11,250 per day. For Ultramaxes, the figures were $19,500 per day in February 2024, dropping to $12,500 per day in December of last year. For the time being, Arrow Shipping & Energy have identified a sharp drop during the second half of 2024 in grain shipments as well as coal shipments. As these rates account for nearly 80% of Panamax shipments, it is no surprise that earnings dropped so much over the last two quarters. At least grain shipments are expected to increase over the next few quarters, while the future trend of coal shipments is much less certain. Looking now at macroeconomic developments, market performance depends very much on world GDP growth and on the positive side, it is encouraging to note that a record small number of countries are expected to be in recession in 2025 and 2026. The latest projections for growth of the major world economies provided by the IMF are shown in this slide. China's growth this year is expected to come in at around 4.6%. For the US, the projections are 2.7% for this year and 2.1% in 2026. While for Europe, the projections are 1% for this year and 1.4% in 2026. World growth is anticipated to grow by 3.3% both this year and next. The major bright spot remains India with anticipated growth being forecast of 6.5% for the next two years. According to Optima Shipping Services, a looser monetary policy in China is expected to provide support to the dry bulk trade later this year, particularly in commodities tied to domestic infrastructure and industrial demand. A brief look at commodities now. Steel output in China has dropped so far in by 1% year-on-year. Global steel production is projected to have dropped by 0.7% in 2024 as compared to 2023 to 1.835 billion tons. The largest increases were seen in Vietnam, Brazil, India and Turkey, while largest production drops during last year were seen in Mexico, Russia and South Korea. Grain shipments are expected to grow by about 2% during 2025 grain season after showing good performance of 3% in 2024. Shipments in 2026 are expected to grow by 3% even though much will depend on the war in Ukraine. Clarksons expect thermal coal shipments to drop by 2% this year to 1.027 billion tons and by further 2% in 2026. However, eventually demand might grow as China and other emerging economies in the Asia Pacific Region still depends heavily on coal for power supply for which demand is increasing rapidly. Iron ore shipments which are expected by analysts to remain steady this year and dropped by 1% in 2026 are being disrupted by cyclones affecting major loading ports in Australia such as Port Hedland, Dampier and Port Wolver [ph], where congestion now is beginning to build up. Demand growth in the minor bulk trade will be the main positive factor in 2025 and are anticipated to increase by 3% to 2.3 billion tons. Increased shipments of bauxite and aluminum will remain the cornerstone of the minor bulk trade supporting global economic recovery and the energy transition in 2025 and beyond. The share of Capes in the bauxite trade has increased to just over 20% of total shipments. Total bauxite shipments in 2024 are estimated by Clarksons to come in at 162.4 million tons, which will represent 15% year-on-year increase. Turning to demand, now analysts expect global demand for dry bulk shipping to grow by about 1% this year with supply anticipated to increase by about 3% year-on-year leading to an overall softer fundamental balance in the sector. However, several factors such as slower speed, greater off hire time due to special survey and fitting energy saving improvements could help reduce this discrepancy. Looking ahead to 2026, bulk carrier earnings are anticipated to be modest with fleet growth expected to be approximately 2.6% and demand expected to increase around 1% in ton mile. So, in 2026, a decrease in fleet growth is expected mostly attributed to an increase in demolition to about 14 million deadweight ton and limited newbuilding delivery. 2026 might be a year of slightly better bulk carrier earnings than in 2025, but it is far too early to make any forecast. Moving to the next slide covering fleet development. The newbuilding order book is about 109.3 million deadweight or 10.6% of the existing fleet. Panamaxes, Kamsarmaxes in particular are the most broadly ordered size at 36.6 million deadweight on order, representing nearly 14% of the existing fleet. As Clarksons point out, the fueling transition remains in focus in 2024 with a record volume of alternative fuel capable tonnage contracted about 62 million deadweight or around 50% of the total. However, the alternative fuel readiness of this tonnage differs greatly from ship to ship, most being prepared with minimum present cost to receive some sort of alternative fuel down the road at which time much larger outlays will be required for the necessary modification. According to statistics prepared by Braemar, the Capesize fleet is expected to grow by about 5 million tons this year and by about 6 million deadweight tons in 2026. For Kamsarmaxes and Panamaxes, the figures are 9 million for this year and 14 million in 2026. The Ultramaxes are expected to grow in tonnage by 10 million deadweight in 2025 and by 7 million in 2026. All figures given above are net of expected deletions from the fleet. Talking of deletions, demolitions are expected by Clarksons to reach 9.2 million deadweight this year and about 14.7 million next year. Since age is one of the factors affecting the decision to scrap vessels together with sentiments and the state of the freight market of course, it is worth noting that according to Clarksons 24% of Handymax Supramax synergies are over 15 old, as well as 26% of Panamaxes and 17% of Capes. Congestion has been gradually dropping since 2021, thus boosting the supply of available tonnage. BIMCO expected to stabilize around current level, although extreme weather conditions like that that we are facing now in Australia in the iron ore loading port could increase congestion at least temporarily. As regard to asset values, newbuilding prices are for the time being defined the trend of the freight market and remain firm across the size range. Capes have increased by 10% year-on-year at 74.5 million with Kamsarmax's at 37 million showing a 3.5% year-on-year increase. Similar increases are seen for Handymax. According to BIMCO, BIMCO over the next two years secondhand prices are expected to weaken together with freight rates. After peaking in July of last year, they gradually returned to the early 2024 level. As an example, in January, a five-year-old bulker would sell on average about 88% of the price of a newbuilding. This downward trend is expected to continue over the next few quarters. Finally, turning to the market outlook. Overall, dry bulk commodity shipments are expected to either remain steady or drop somewhat from level seen in 2024. The minor dry bulk trade representing about 2.35 billion tons of shipments will play the most significant role in determining the future course of the dry bulk market over the next two years or so. Modest supply growth will help in maintaining a balance between supply and demand. Nevertheless, 2025 is projected to be a softer year than 2024, mainly due to a moderation in the rate of growth in demand. A major unknown factor is the effect on the dry bulk market of possible tariffs from China, Mexico, Canada and other countries that exports to the US by the new US administration which might disrupt primarily grain and minor bulk trade. According to BIMCO, rising tariffs present a considerable downside risk in the fight against inflation and to global economic growth in the near to medium term. An increase in tariffs could lead to a rise in consumer prices keeping interest rates high for a longer period than would have otherwise been the case. High interest rates could also affect supply chains, which would certainly be bad for shipping in general. So, the last slide provides a shorter summary of positive and negative influences for the dry bulk market as presented by various analysts. Besides a few, we continued on the positive side, we have continued import growth into China and Southeast Asia. The record small number of countries expected to be in recession during this year and next, gradual increase in congestion, looser monetary policy in China leading to potential recovery in the Chinese property and infrastructure market and the commencement later this year of iron ore shipments from the Simandou Gulf of Guinea. On the negative side, we have worldwide lower iron ore consumption. We have protectionist measures with high tariffs leading to trade wars, bulk carrier fleet growth outpacing demand growth except for the Cape sector, easing tensions in The Middle East with increased Red Sea transit, weather related disruptions of exports in the Australian iron ore trade, large increases in hydropower output in India and China, and finally Panama Canal drought related problem resolution. On this note, I will pass the call to our CEO, Semiramis to provide the most important financial highlights for the last year and fourth quarter as well as some takeaway points from this earnings call.
Semiramis Paliou: Thank you, Stasi. So, before we conclude today's presentation, I'd like to highlight our ongoing ESG initiatives. So, Diana Shipping is committed to promoting ecofriendly technologies and modernizing our fleet, transparently sharing emission data to ensure accountability. Diana is committed to building on partnerships and collaborations to advance our sustainability goals and is also developing an equity diversity and inclusion program while continuously investing in our people. On Slide 20, in summary, Diana Shipping Inc. Stands on a strong foundation built on over 50 years of industry experience and 20 years on the New York Stock Exchange, a seasoned management team, adept to addressing industry challenges, strong stakeholder relationships and a disciplined strategy and approach. A solid balance sheet with a strong cash position and a counter cyclical mindset, ongoing fleet modernization efforts, a focus on rewarding our shareholders when possible and the robust ESG strategy. Thank you for joining us today. We now look forward to addressing your questions during the q&a session.
Operator: [Operator Instructions]. I'm not showing any questions at this time. I'd like to hand the call back over to management for any closing comments.
Semiramis Paliou: Thank you very much for joining us for Diana's fourth quarter and end of year financial results conference call. I look forward to talking to you again in the next quarter. Thank you very much.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.